Operator: Good day, ladies and gentlemen. Welcome to Pacasmayo Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this call is being recorded. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. I would now like to introduce your host for today's call, Mrs. Claudia Bustamante, Investor Relations Managing Director. Ms. Bustamante, you may begin.
Claudia Bustamante: Thank you, Rafael. Good morning, everyone. Joining me on the call today is Mr. Humberto Nadal, our Chief Executive Officer; and Ms. Ely Hayashi, our Chief Financial Officer. Mr. Nadal will begin our call with an overview of the quarter, focusing primarily on our strategic outlook for the short and medium term. Ms. Hayashi will then follow with additional commentary on our financial results. We'll then turn the call over to your questions. Please note that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts and are therefore subject to risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company's regulatory filings. With that, I'd now like to turn the call over to Mr. Humberto Nadal.
Humberto Reynaldo Nadal Del Carpio: Thank you, Claudia. Welcome, everyone, to today's conference call, and thank you for joining us today. I would like to start with a quick overview of our results for the quarter. We continue to see solid momentum in sales volume with a 9% increase compared to the same period of last year. This growth was driven mainly by stronger demand from infrastructure projects and a consistent performance in the Self-construction segment. Gross profit increased by 14.4%, reflecting the impact of our ongoing efforts to improve cost efficiency and strengthen profitability. These efficiencies transferred into bottom line growth as net income also increased 14.4% this quarter, reaching PEN 71.5 million this quarter and a very solid accumulated growth of 15.6% for the first [indiscernible] months of this year. Moving on to the progress of our strategy. We continue to be at the forefront when it comes to advancing innovative building solutions, developing those that promote more efficient, safe and sustainable construction. A prime example of this is an industrial langard that integrates prefabrication and B-methodology, technologies identified by the World Economic Forum as having the greatest transformative potential for our industry. This strong combination allows us to significantly reduce execution times, ensure operational continuity, enhance quality, minimize waste and strengthen the safety of our teams. In the same spirit of innovation and collaboration, we are working closely with Newmont and Bechtel Corporation in the construction of our water treatment plant at the Yanacocha operation. Treating acidic water in mining is essential for environmental sustainability, helping maintain a balance between economic development and responsible use of natural resources. By ensuring proper water management, we not only reduce environmental impact, but also preserve resources for future generations. Both of these projects are clear examples of how we are adapting our products and services to meet current and future demand, always, and I stress always with a client-centric view and aligned with our purpose. Our reputation is not built on words, but on actions. And this year, we once again demonstrated our consistency and purpose truly make a difference. For the third consecutive year, we proudly ranked among the top 10 companies in the American corporate reputation ranking, a recognition that affirms our commitment to responsible, transparent and always ethical management. Reputation after all is simply the result of what we do every day. We're confident that these positive results are only the beginning and the momentum we've built, we will continue to strengthen in the coming quarters because ultimately, our long-term success stems from a simple conviction doing what's right for our clients, our communities, especially for our country. I will now turn the call over to Ely to get into more detailed financial highlights.
Ely Hirahoka: Thank you, Humberto, and good morning, everyone. This quarter's revenues increased 10.9% compared to the third quarter of 2024, mainly due to the increase in sales of concrete and pavement for infrastructure projects as well as bagged cement, reaching PEN 574.1 million. During the same period, gross profit increased 14.4% when compared to the same period of the previous year, mainly due to a decrease in cost of raw material on the above mentioned higher revenues. Consolidated EBITDA was PEN 160.6 million this quarter, a 3.9 percentage increase when compared to the same period of 2024, mainly due to the previously mentioned increased operating income. For the first 9 months of the year, revenues increased 7.3 percentage when compared to the same period of 2024. Gross profit during this same period also increased 10.5 percentage when compared to the same period of 2024, mainly due to lower cost of raw material, higher consumption of our own clinker as well as the operational efficiencies derived from our maintenance and production plan. Likewise, EBITDA increased 4.6 percentage when compared to the same period in 2024. Turning on to operating expenses. Administrative expenses for the third quarter of 2025 increased 20.2% when compared to the third quarter of 2024. Likewise, administrative expenses for the first 9 months of the year increased 18.7% when compared to the same period of the previous year. This increase was mainly due to higher personnel expenses because of the union bonus. Selling expenses increased 25.5 percentage during the third quarter of 2025 and 24% during the first 9 months of the year when compared to the same period of 2024, respectively. This increase was mainly due to higher advertising and promotion expenses, as part of our commercial strategy focusing on our product attributes as well as the union bonus mentioned before. Moving on to the different segments. Sales of cement increased 10.4 percentage this quarter when compared to the same period of last year, mainly due to increased demand. Gross margin increased 1.6 percentage points during the same period when compared to the third quarter of 2024, mainly due to lower cost of coal and energy. For the first 9 months of the year, results were similar with sales increasing 7 percentage and gross margin increasing 2.5 percentage when compared to the same period last year. During this quarter, concrete, pavement and mortar sales increased 26.3 percentage when compared to the same period in 2024, mainly due to increased sales of concrete for infrastructure projects such as the Tarata Bridge and the Yanacocha water treatment plant. Gross margin increased 2.6 percentage points this quarter when compared to the same period of 2024, mainly due to higher dilution of fixed costs. For the first 9 months of this year, sales of concrete, pavement and mortar increased 19.5 percentage, mainly due to increased demand for infrastructure projects. However, gross margin decreased 2.3 percentage points during the first 9 months of the year when compared to the same period of last year. Regarding precast materials, sales increased 23% this quarter when compared to the third quarter of last year and 11.6% during the first 9 months when compared to the same period of 2024, mainly due to a strong increase in sales of [indiscernible], the most profitable product within the precast line. Gross margin this quarter and during the first 9 months of the year was higher by 5.6 and 1.3 percentage points, respectively, compared to the same period of 2024. Moving on to our consolidated results. Net income for the period increased 14.4 percentage this quarter when compared to the third quarter of 2024 and 15.6 percentage during the first 9 months of the year when compared to the same period of 2024, primarily due to higher operating income, lower interest payments due to debt amortization and a favorable foreign exchange rate effect. Finally, in terms of debt, our net debt-to-EBITDA ratio was 2.5x as we continue to delever because of both higher EBITDA and debt amortization payments. To summarize this quarter, we continue delivering solid financial results, making the most of our favorable market conditions while managing costs in order to achieve profitability. Operator, can we now open the call for questions.
Operator: [Operator Instructions] We have our first voice question coming from Marcelo Furlan from Itaú BBA.
Marcelo Palhares: I have two questions. The first regarding volumes and the second one regarding capital allocation. So for volumes, you guys mentioned in the release that you guys expected an accommodation at least until April 2026 ahead of the federal elections. So I'd like to understand what to expect in terms of cement volumes performance in the country and then also for the company? And also what we expect after that? Do you guys still have an expectation or maybe it's too early to say after the elections, so could cement volumes evolve? And my second question regarding capital allocation is, what has driven the CapEx deployments to date? And what could we expect for -- in terms of for 2026? And also in terms of dividends, could we see maybe similar dividends or yield levels as you saw -- announced in October around [indiscernible] expect similar levels for 2026? So these are my questions.
Humberto Reynaldo Nadal Del Carpio: Marcelo, thank you. I'm trying to answer your questions even though the line was kind of on and off. So I'm trying to figure out your questions. I'm going to try to answer. If I don't, please, you can try again to ask. In terms of volumes, this year has been very positive. I think the north is growing -- the north part of Peru is growing above the national average, which is pretty flat. But we think that the remaining quarter of this year should see the same level of activity. I mean, we mentioned Yanacocha, we mentioned Tarata, self-construction, they all seem to be pretty strong. When you -- and in general, there is a concern about the [indiscernible] coming next year, I think we've had 7 presidents over the last 8 years. We've had many elections going left, right, up, down, whatever. And it seems that 80% of the economy of Peru doesn't really care much about that. So we don't see really an impact of the election. We have a recently appointed President, he is pushing very strongly for the regional governments to spend the money they have left for the remaining part of the year. I read today that 50% is normal. At this point, being 9 months of the year, only 50% of the budget has been spent in regional government. So I don't see the electoral situation affecting too much, either self-construction or infrastructure projects. I don't really quite heard your second part, but I think it has to do with debt. I mean, if not, please correct me. And like Ely mentioned, I mean, we keep lowering our debt, both because we are paying the club deal that is -- we have 4, 5 years remaining and also because the EBITDA keeps being at a higher level. Like I said, communication was poor, if you want to rephrase the question, we can try that.
Marcelo Palhares: Yes. The first question was answered. The second was actually related to the CapEx deployment to date. So with the CapEx deployments and what we expect in terms of for '26? And the second part of the question is regarding dividends, we could see similar dividend expected for '26 as we saw now announced in October?
Humberto Reynaldo Nadal Del Carpio: Once again, I know what's wrong with your [indiscernible], but to do with the CapEx, I mean, our sustaining CapEx has remained around PEN 100 million, which is roughly around PEN 30 million over the last 2, 3 years, except for 2021 when we did kiln number four in Pacasmayo, that level should remain pretty steady. And I don't know if your questions have to do with dividends. I mean, we just announced a dividend last week in line with previous years, even though probably net profit will be up in the double-digit field for the rest of the year. We remain -- we decided -- the Board decided to keep the dividend PEN 190 million. I think in line with what Ely was mentioning, keep lowering the debt at the level-1 and we think it's a reasonable dividend yield and keeps everybody pretty much happy and the company financially very solid.
Operator: So we are moving to the next question, which is a text question from Cesar [indiscernible]. Considering that electoral cycles often lead to a pause in private investment and shift in public spending priorities, how are you adjusting your commercial and operational strategy to sustain volumes and margins in an environment where project execution may temporarily slow down? Do you see opportunities to gain market share if other players reduce their activity?
Humberto Reynaldo Nadal Del Carpio: Cesar, I mean, with all respect, I mean, I differ hear in your view of what happens in Peru in the electoral period. I think over the last periods, companies, private sector have learned that, I mean, we have to keep going. I just had a chance to write an article that will be published a week from now for a National [indiscernible] Association saying that private sector, and I mean the small entrepreneur all the way to a big corporation like us, we cannot stop. The country keeps going, the country keeps growing. We have elections every 5 years, but we change Presidents on average every 3 years. So we have to keep going. And I think this is part already on the decision-making process of companies. I mean, you see [indiscernible] going ahead. You see many announcements happening over the last 60, 90 days, and they're going all across election. So nobody is really waiting for the March elections because if you have a leading position, no matter what is your industry, if you decide not to invest, somebody else will do it. And in terms of opportunities to gain market share. I mean, we fight for our market share every single day, but it's election time and election time arrived is basically the same. As Ely mentioned, we have increased marketing expenses because we defend clearly our position in the market, but that is really independent of whether there's an election or not in the short term.
Operator: Our next text question comes from Giovanni Sánchez from Prima AFP. Could you explain the extraordinary increase in financial income to PEN 8.7 million in the third quarter -- next text question comes from Mariane Goñ from CrediCorp Capital.
Humberto Reynaldo Nadal Del Carpio: So I'm going to take it here, and there's a question from Giovanni Sanchez saying, could you explain the extraordinary increase in financial income to PEN 8.7 million in 3Q '25. Any guidance -- okay. That increase has to do fundamentally because we want to try [indiscernible] over mining royalties. This lasted, I think, over 10 or 12 years. And that meant an extraordinary income for us, and that's why the financial income changed. Any guidance for the last part of the year, like I said, I think volumes should remain strong. Usually, seasonality helps us in the second part of the year. So we're doing that. And in terms of 2026, a little bit too soon to tell, but we're optimistic that we will be seeing another year of growth next year. And the next question, I think, from Mariane Goñi from CrediCorp Capital. I answer the first part. In terms of margins for 2026, there's 2 parts of the question. I think the margin should remain steady for the coming year, even though volumes are going to grow. And relating the SG&A, there's 2 things here. I mean, we're going to keep being very strong in terms of marketing expenses because there's increased competition, and we like to defend our solid market share. And like Ely mentioned before, I mean, in terms of administrative expenses this year because we signed the 3-year union contract, there's a higher impact of the bonus we give our workers on the signed agreement. In the coming years, there's still a little part of it, but the amount would be lower. And the last question from Integra. Looking ahead, do you plan to maintain this level of marketing and promotional spending for this year to the coming year? Like I said before, I mean, this is -- we'll see what is -- there's always a plan for us, but we always act depending on what the competition does. We'll have to see what is the impact of what we are doing. But yes, we are very happy with the levels of this year. We have to bear in mind that we have increased our marketing expenses and our net profit is up 15%. So that's the idea. I mean, it's not so much how much we spend in marketing, but it's really paying off our strategy. And as far as it pays off, we will probably keep along the same lines. We're going to give one more minute in case somebody else has any additional questions.
Operator: [Operator Instructions]
Humberto Reynaldo Nadal Del Carpio: Thank you very much. We had some technical issues. On the first call we have done like a self-service, like a McDonald's Drive-Thru. And to close this, I would like to take a moment to thank you for your continued confidence and interest in our company. Peru faced many challenges and changes in the last decade. Progress is never a matter of chance, it's a matter of choice. It relies on the conviction of those who believe and continue to build even in difficult times, and we are among those. Cement embodies that conviction, turning belief into roads, homes and opportunities. Those of us who believe in the outstanding potential this country holds cannot step back, cannot be on standby. It is our responsibility to move forward, to invest, to innovate and to keep building its future. Thank you so much for your time today. And should you have any questions in the future, we will -- you know where to find us. Thank you, and have a nice day.